Operator: Good morning. My name is Shannon, and I will be your conference operator today. At this time, I would like to welcome everyone to the Park Aerospace Corp Second Quarter Fiscal Year 2020 Earnings Release Conference Call and Investor Presentation. All lines have been placed on mute to prevent any background noise. After the speakers’ remark, there will be a question and answer session. [Operator Instructions] Thank you. At this time, I will turn today's call over to Mr. Brian Shore, Chairman and Chief Executive Officer, Mr. Shore. You may begin your conference.
Brian Shore: Thank you, operator. Welcome everybody to our second quarter call. This is Brian and with me as usual is Matthew Farabaugh, our CFO. So we have a presentation we prepared for you and for this call, it's been posted on our website and also there is a link that's referred to in the earnings news release. So you probably want to get a copy of that in front of you because Matt and I will be going through the presentation. There's also some supplemental financial information that's attached to the presentation. I think it's Appendix 1. We're not going to read through it, but it's something you might want to take a look at some point. Obviously, you know the news release is out. The earnings release is out as of earlier this morning. So there is a lot to cover and I'm going to try to cover some more complex topics to give you some perspective on the quarter. So please just try to bear with us, but why not we get started. So on Slide 2, we have our forward-looking disclaimer. We're not going to read through that, of course, but if you have any questions about it, please give us a call. Thanks, on that. Slide 3, Matt, why don't you pick up on Slide 3, talking about the expansion spending and also top five customers.
Matthew Farabaugh: Sure. Thanks, Brian. The -- just as a reminder, we had announced that we are doing a major expansion at our Newton Kansas facility and we made that announcement back in December. And we're just -- this slide is really just to give you a quick update on where we're at and the spending on that, on that expansion. So our estimated budget for the expansion was $20,500,000. So far through the end of Q2, we've spent $3,900,000, so a little bit -- little short of $4,000,000 on that and the remaining to be spent for that expansion is about $16,600,000. That expansion is expected to be about -- the construction in the installation of all the equipment is expected to be completed by next summer, so that's the summer of 2020. Let's see the top five customers for the quarter are AAE Aerospace, AAR Corp, Kratos Defense and Security Solutions and Meggitt PLC, and of course MRAS, including its subcontractors, and just a reminder that MRAS is now a subsidiary of ST Engineering Aerospace.
Brian Shore: Okay. Thanks, Matt. I'll take it back to. Let's move to Slide 4, everybody please. So here the quarterly results which you've seen presumably. The sales for the quarter, second quarter, I'm talking about $13.723 million gross profit -- gross margin 27.8%, obviously way down, and EBITDA $2.406 million also down. So let's talk about what we told you would happen or what we said -- we believe would happen during our first quarter conference call that was on July 11. We gave you a sales estimate of $14.5 million to $15.5 million and EBITDA estimate at $3.1 million to $3.7 million. So the shortfalls both top and bottom line, the sales shortfall is to the lower end of the forecast range, okay, not the middle of lower end is $777,000 and the EBITDA shortfall of $694,000. So obviously, if we go to Slide 4, the question is what happened? Why did this happen? What the heck happened in Q2? So, as I've already mentioned at the beginning of this explanation -- the explanation is as complex. It's also a multifaceted. And we're going to go into some details because I think it would be helpful for you to understand and get the perspective. These are things we probably haven't discussed with some in the past. So just try to bear with me, please. Why don't we start with some background perspective and I'm trying to pin in a picture for you here by giving you a little background perspective, okay. We've discussed this before, but I just want to remind you that in fiscal '19 Q4 that was December of last year in January and February of this year, the sales to the -- for the GE/MRAS programs for three times the sales of the first quarter that same year, it's just nine months later. That's a very, very steep ramp for a very difficult and demanding and challenging customer and challenging programs to support. So -- but we did get the job done. We do not disappoint them in Q4 with the fairly huge ramp that they asked us to handle. But we did it mostly with brute force, and that's really what we had at that point. We didn't really have systems in place to operate that level, especially for such a demanding and difficult customer. We -- I want to be clear, I'm not saying it as -- in a bad way, we love MRAS. I love MRAS, also if anybody ever ask, but they are a much more difficult customer than the other customers. So, in fact, they are the ones that ramped three times during the nine-month period, put a lot of pressure and stress on our system, but we did not disappoint and I got to tell you that I think we're the exception at a rule because there is a lot of suppliers in the supply chain right now.  They have real trouble keeping up and are causing real challenges for supply chain managers in the aerospace industry, just because some of the programs that are ramping very steeply at this time. Q1 of this year, fiscal year '20, Q1 more brute force and then Q2 are the quarters that we're reporting now. We're in a process of transitioning from brute force to sustainability. You can't do brute force forever, I guess. At some point, it's just kind of wears people out, so important and painful progress is being made. We're not there yet in terms of transitioning from brute force to sustainability. I think maybe this is just my perspective, maybe we got a little burned out in Q2 from the brute force efforts in Q4 and Q1, maybe we let down a little bit, maybe our disciplined slipped a little bit. I don't know, which is my perspective, but if that's true, our heads are back in the game now and that's -- that's quite obvious to me, I think, that's for sure. Another thing I want to bring to your attention is this -- so on Slide 5. This practice we've had in the last few quarters, particularly Q4 and Q1 of making the quarter last few weeks. And I think we got complacent about it and we got rolled into a sense that well, don't worry, we will make the quarter last few weeks. In other words, total stops the production will just push everything through and get any shipped by the end of the quarter, but we got burned by that in Q2. These we got behind and we couldn't catch up for reasons I've explain in the next few slides. And we didn't even see a comment. We didn't even to see the sales and EBITDA shortfall coming in Q2 in last few weeks of the quarter, because again over the prior two quarters we were used to making the quarter last few weeks. It's a bad practice, we changed. We're not doing that anymore. So I guess some things we learned the hard way and -- but I think one good thing about us is that we do learn, even though sometimes it's a hard way. Let's move to Slide 6 please. In this, like I said, is going to be complicated, but try to bear with me and obviously questions at the end we'll be fine. Okay, so this is a big thing that is not obvious to anybody. We obviously just report our revenues and profits. We don't report reduction plan. So in Q2, our plan was to produce $2.9 million more product that we actually produced in Q2. So that's a huge, huge difference. I think we said that we restore our sales target. Let me go back to check myself, and I think it's on Slide 3, by $777,000, we missed our production objective or target by $2.9 million, almost $3 million. Now that production shortfall also had impact on our sales, because obviously you can't sell it. The first checked item under the first arrow item. So the fiscal '20 Q2 sales shortfall obviously had a negative bottom line impact. I mean that's just pretty straightforward. But what is obvious is until now, just had -- the larger impact was from to the production shortfall because when you produce product, it -- some of that drops to the bottom line when the product is converted to inventory. I should say it's important distinction I forgot to mention. This $2.9 million, that's in sales values. That's a value the product when it's sold. It's not an inventory value, but anyway significant bottom line impact from the production shortfall. And well, the next question is why that happened, of course, you know? How could that happen? So, let's go to the next arrow item. So why the significant production shortfall in Q2, what happened? Okay, I just said that right. And there were three discrete events -- unrelated and discrete events that were all unexpected by us and that caused us a significant difficulty in Q2 and this is where I need to explain a little bit about some of our raw materials and our processes, I think we have discussed before. Normally, we don't go into this kind of detail, but I think to have a real understanding as to what happened, and for us to be transparent, which is our objective, of course, I think we need to go through this. There is something called polyurethanes film that's used in our process. It's actually used by our customer as a manufacturer aid, but it's applied to prepreg materials on a prepreg surface. It stabilizes the product in customer applications and operations rather, and it also prevents the product --- our product approved -- from sticking to itself when it's rolled up in a roll, because it's a sticky. There are other reasons of purposes for the use of polyurethane film, but it's widely used in the industry. Anyway, so we did a change of the polyurethane film style and this always MRAS programs unfortunately. And that caused what's called wrinkle. In other words, the film wasn't sticking to the product in a kind of flat way, it was wrinkled. And this is not something we were able to pick up on. It was picked up by the customer and it caused -- to say you know this is wrinkling and we don't want to use it, so they sent the product back to us for what's called rework. Now the poly -- we call poly is applied in the original process fully automatically on the machine, but when you have to rework its very manual. You have to take it out off and it's kind of a semi manual process to re-poly, rework this product. Now in terms of, you know, I mentioned they let down a little bit in Q2. I'll give you an example of that. So we had used this other solid style poly for other applications that worked very well. So we got so excited to use it for this MRAS application and we didn't do any trials, and that was a mistake and that was something, an example of, maybe our disciplines weren't as good as they should have been, maybe we were burned out a little bit in Q2, and we were on top of our game, we shouldn't have done that. We should have done trials, but we didn't do trials. We thought, well look it's worked in other applications, let's just use it here. So we didn't do it and we got burned because we got call from the customer and we had done an enormous amount of product and say we have wrinkles, you got to send all back. So, okay, now we're doing the rework. Next one, unrelated, but also polyurethane film different supplier, this is just a quality issue, a pretty serious quality issue from the supplier with a polyurethane film. And again we didn't realize it in our own factory. It was our customer that realized that when they received a product, again how to ship it all back, enormous amount of rework. This is very time consuming, takes a lot of labor and the thing is not only you have to pay for the labor to do the rework, guess what, that labor is not producing product to ship and sell, we get revenue from it, revenue generation, but we had to fixed it. We got to make it right, we've no choice. A third item, which was unrelated as well is toward the end of the quarter. There we noticed that some of the carbon fabric that we had received again for an MRAS program was distorted and we couldn't use it. So we had to send it back to the weaver, so they can rework it. Now, that wasn't our rework, but the problem is that we didn't have the carbon fabric we needed to produce and ship that product within the quarter. So that also caused us to be short in terms of production for the quarter. These are three unrelated discrete events, but they all kind of conspired against us to cause significant difficulty for third quarter and let me explain why that is because as the plot thickens. Next check item, carbon fiber availability limited to MRAS program forecast, in other words, our carbon fiber supplier, this is not the weaver. The carbon fiber suppliers says, okay, we'll supply that forecast. We have to forecast, but not one pound extra, that's all we got because there's a carbon fiber shortage. So they are helping us to freeing us well, but not going to give us any extra. So we could call them up and say, look, we have a problem. This product, can you send us more fiber. There is no more fiber. So our -- in the case of the carbon weave distortion and had to be reworked -- in the case of the poly it had to be reworked because that -- the carbon fiber that was used to make that prepreg could not be replaced, so that causes us to have almost no slack or leeway in our system. And then we have -- so next check item, because of these carbon fiber supply limitations and manufacturing capacity limitations, which we'll discuss in a couple of slides down, we have very limited slack or leeway in system to make a recovery from issues like the above issues, and required rework not possible during the quarter. And that's the key point. So it wasn't just these problems happen in a normal quarter, when it wasn't so much stress in the system. These things might happen, they happen from time to time. You will never hear about it. But because of so much stress in the system, both in terms of our capacity also in terms of carbon fiber supply, we had no leeway. We couldn't recover and therefore we're telling you about it, because this is of being a key point, those two things together, the events and the tightness and stress in the system conspired in a way against this in Q3. And the last item on the page, if those limitations did not exist, as I was saying, we probably -- we would have certainly been better positioned to recover and we might not be discussing them at all. So, okay, that is Slide 6. Let's go into Slide 7 to continue this discussion. On top of Slide 7, so the major rework related to polyurethane film, just kind of review you a little bit resulted in significant expense. This is labor that again we have to pay for it and labor that's not being used to produce products that we can sell and get revenue from. So in our production workers are quite consumed with rework and it was kind of like diverting the intended purpose of our production workers to something had to be done. And of course the bigger impact wasn't just the cost to do the rework is the production value shortfall, which has a major impact to the bottom line at $2.9 million, approximately $3 million of production shortfall, major impact to the bottom line, major impact. And so I just want to be clear, we're not signaling out or blaming our supplier, we think our suppliers are very good. Generally speaking, we're pleased with our suppliers. We feel they support us very well. They are good and dedicate suppliers. They are normally responding to issues to the best of our abilities as they arise. So this is not about blaming the suppliers, it's about explaining to you what happened, because as I said normally these things happen from time to time. It's not that they just happen in the second quarter now, more of them happen in the second quarter, but we deal with them. You never hear about them, because the system allows us to recover, but since it had a major impact in our Q2 performance, I thought it was proper for us to kind of explain the dynamics and explain what happened in some detail, and I hope it wasn't too much detail, but like I said, however, in this case like the presentation reach, since the issues had significant bottom line, infact, we believe is appropriate to highlight them here. So we've done that, continuing on the EBITDA story, significant expense utilization of limited hot-melt manufacturing capacity to support ongoing manufacturing trials of composite materials for Containment Wrap for GE9X Engines. This is more than we expected. We didn't understand how much effort to extent the trials that were required for this program. And as you know, that program is not part of the -- we've discussed this with you before. We've POs on that program at the end of next year, but that program is not an MRAS program, it's a GE program. It's not part of our long-term agreement with MRAS. So the POs go into the index year and then we'll see what happens, but we're not sure we're going to have that program long term. I guess, that will return later on. I just want to make sure you remember that. This is not in the same categories like the A320 or Boeing 747 for instance. Anyway, last item on Slide 7, we failed to achieve our sales and production objectives in Q2. The issues described above created obstacles to achieving our objectives, but our execution was inadequate nevertheless. So here you go. I mean, we didn't do our job either. As I said maybe we're not totally on top of our game. I gave an example where we switched to a polyurethane film style, when we should have done some trials, that wasn't good. But the good news is that, I think our heads are screwed back on straight again and if we did slip a little bit, I think we're back in the game, our heads are back in the game. Look, I'm not telling it's okay or making excuses, but I think if you think about the brute force efforts in the first six months is probably not surprising that maybe if some of our people let down a little bit, it wouldn't be surprising that happen. EBITDA issues, let's review. Major production -- reduction in production, lots of rework and then the cost of 9X trials. So, the only thing that impacted EBITDA are bottom line, but those are some of the 3 billion or 3X that I think they are the more major things. Okay, let's go on to another complex topic on Slide 8. Hot-melt manufacturing capacity constraints, you're probably surprised to hear this, because until now we've been saying -- we felt we have enough capacity and we had available extra capacity. Of course, we said that we believe it. What's going on here? So let's start, the 60-inch that's the width of the web, if you will and these machines, web capability of these machines. Hot-melt Film and tape lines, to make hot-melt product in film and tape, they are two separate lines that were purchased when we did our original aerospace composite facility in Kansas in 2008. We're not specifically designed for the production of AFP type materials. AFPs automated fiber placement, that's robotic methodology for making composite parts as compared to things like hand lay-up. This is a more modern methodology of producing composite parts and the trend is towards more AFP. AFPs were expensive, so it's not going to be for every composite parts manufacturer, but for larger companies like MRAS, it makes a lot of sense. Very important technology for the future and so the technology we're embracing. But any event, those original machines were not really designed for AFP and I don't think we've even knew much about AFP back in 2008, and you know what, we said this before and we did a lot of learning over the last 10 years. There's been a lot of mistakes and the original design of the factory and the equipment was not optimal, with a bit of hindsight. Anyway, but we made these original lines work for AFP for A320NEO program. Much of the A320NEO program has been converted from hand lay-up AFP. I think we indicated in the past, we did the AFP development work with MRAS. So we've got on the ground floor there and that's worked very well, but we have struggled though with the 60-inch lines for AFP material for GE9X program. Every material is different and the GE9X program has been more difficult for us. So what we're doing is we're shifting the production of the prepreg, the AFP-style prepreg materials for the GE9X program to our 24-inch hot-melt film and tape lines and you may not even know we have these, but you -- we haven't used it very much, but it's just unlocked, but we recently upgraded the 24-inch film line for our Film Adhesive product line and it just don't look like I say, but that was very fortunate because those upgrades allow us to produce the AFP material for the GE9X program much more effectively. So we're in the process of transferring the AFP materials for the GE9X program from the 60-inch lines, the original 60-inch lines to the 24-inch lines. That's a good thing. I want to point out because I don't want you to get nervous that the new 60-inch lines that are part of our expansion that Matt just talked about, those were specifically designed to produce AFP type materials. It's not AFP is very important -- very much on our radar screen we're involved with it and we want to embrace that technology, we use the technology for tomorrow, not just yesterday. Continuing on Slide 8. Now AFP material requirements ramping aggressively and that's driven principally by the A320NEO program and we're still in a steep learning curve regarding AFP material manufacturing. We're not operating yet with optimal efficiencies productivity or we're getting narrow and learning fast that's kind of our story normally we use that, but we have a challenge, we attack it pretty aggressively. Last item on Slide 8. The AFP hot-melt, sorry -- hot-melt manufacturing of AFP materials is generally a slower process than hot-melt manufacturing for broad good materials and also require significant additional set-up time in the tape line. And we had not fully appreciated that when we did our capacity analysis, so like I said, we're learning a little bit as we go and so some of our capacity concepts and thoughts have been adjusted as we've gone through the last few months. Going on Slide 9. So in order to relieve and open up the hot-melt capacity, we've got a couple of things as -- well we implement our fourth tape line manufacturing shifts. So basically the tape line is running 24/7 now. The other operations to support hot-melt like film and mix are not required to go 24/7, but right at 24/7 shift structure at least in tape right now and that's also support the GE9X program. And also as I say, we're in a process of transferring the GE9X program to 24-inch film and tape line to open up capacity. So obvious question, what is our current hot-melt manufacturing capacity? We previously indicated is $40 million that was based upon a 5-day work-week with some overtime -- a little overtime. With the 24/7 shift structure with the -- on the tape line, we now believe our capacity is $45 million, but that does not include the capacity from the 24-inch line. So $45 million plus the extra capacity from the 24-inch line and that's of course once we get to the GE9X transfer the 24-inch line and get to four shifts settled in, we believe $45 million is a reasonable number plus whatever is available from the 24-inch line.  So we feel -- I'm sorry, I should say the capacity is kind of a tough thing because it is very, very mix related, more AFP reduced capacity, less AFP increases the capacity, and there is a lot of other different factors in terms of product mix that will have an impact upon capacity. So obvious question. Here's the answer. We believe will be fine. We have enough capacity to serve our needs, to seve MRAS needs and to take on other opportunities, until the expansion comes online. As Matt said, we plan to have the expansion complete about next summer -- rather next summer. I think it's still summer time -- next summer and then it's probably about a year from then to get the qualifications done for MRAS. Okay. Let's move on to Slide 10. Thanks for bearing with me those two complex issues about the fact with the Q and also the capacity questions. So, Slide 10. Now we're talking our forecast. So let's discuss that, Q3 [indiscernible] this is the revenue Q3 of this fiscal year, fiscal '20, $14.75 million to $15.75 million revenue. I believe that's the same -- those are same numbers that we gave you for Q3, when we did our first quarter conference call. But we brought the bottom line EBITDA down to $3 million to $3.5 million. Now, let's just talk about Q4 and the forecast, we've given you for Q4, this is the first time to see the Q4 forecast is $15.25 million to $16.25 million revenue, $3.25 million to $3.75 million of EBITDA. Just to give you a perspective on Q3, we have got $14.5 million either shipped or book to be shipped in Q3, that means what we shipped so far and what we have on our books that is scheduled to -- have been planned to ship in Q3, $14.5 million. That means we need to book another maybe $1 million right, that shippable within the -- by the end of Q3. So our salespeople need to be after it, hit it really hard their challenge, but that's okay. We like that, that's our challenge. So you've been hitting it very hard, you need to be out there getting orders. And I also want to mention that we probably need a little bit more than that because there is just plenty thing that happens. At the end of our quarters often is that we get calls from customers who want to push things out a little bit or is a de-booking or something like that. So we have to be careful because I'm telling you what's been booked, it doesn't mean it's something will be pushed out. We got a call from a customer in November, no big deal. We just want to push our month. Well, okay, not a big deal to them, but that's our next quarter. So it happens. It happens often. I think it's happened for the last couple of quarters. So we just have to be on guard for that, and we need to build ourselves a little bit of a cushion, if you know what I mean. Now, why do we bring the EBITDA numbers down for Q3 with the same revenue numbers we gave you the prior forecast, and there was EBITDA numbers are little lower for Q4 as well. You haven't seen Q4 yet, but we've had internal Q4 numbers and we brought them down. So let's look at all the factors that affect EBITDA profitability for Q3 and Q4. There are a number of them. So, let's go through them all. Outside testing costs relate to that development for new product, that was something you mentioned actually, which is a factor for Q2, as carrying over that has not been completed. An excellent GE9X program, manufacturing trials, development expenses, that's big and that's certainly not done, we're not done with that. We discussed already, excellent Film Adhesive manufacturing trials and development expenses, that's carrying over. I think we mentioned that as a factor when we did our Q1 call for Q2, not going with that carrying over. The next one, AFP manufacturing ramp up additional costs that's significant cost of operating the 24-inch hot-melt line for GE9X that significant, it's what's needed, it's what's right, but it's more expensive because the just simple math, if you're dealing with narrow web, you're getting less product out per minute or per hour depending how you want to look at it. Continuing rework related to polyurethane film, so we're not done with it yet, the differences though there is no surprise. So with our second quarter all these issues -- the three issues we talked about a few minutes ago were surprise to us and were not expected and we struggled to deal with them as we discussed. But the fact that we're still doing the rework, it's not surprising to us, since we know about it. So we can take gentle count on our planning and our forecasting, it does have an impact on the bottom line. It's just had a surprise, it's not unexpected. So -- and then there's the push out of delivery schedule for GE9X program. Obviously, that's going over and that's pushed out quite a bit for Q3 and Q4 into Q1 and Q2 of next year. So that's going to -- that causes revenue hole, but we've taken them into account in our top line forecast. Legacy costs are expected to continue into Q4. Those are costs related to the company, the prior company before we sold electronics. Those are tapering off and there's still something there. So there's a lot of factors here, which we took into account and trying to be a realistic in terms of our EBITDA forecasting for Q3 and Q4. Okay, let's go on to Slide 11. We talked about these factors in our last quarter call. They're important to remember, and I think they're very much on -- very relevant to today's world where there's a lot of stress in the system. So first of all, all of our major jet engine company programs, MRAS/GE programs except to B747-8 are ramping or in development. Anyway, the reason that's an issue is because there is much more risk when a program is ramping, much more chances that it will be moved to the right. You have some 747 steady as you go and hopefully it'll go forever, but not too many surprises. When a program is ramping, there are setbacks in development, sorry development in ramping or setbacks and it gets slow down. There are issues with supply chain. So there's a lot of risk in the system, because most of the key programs that were on for the GE Aviation programs are in development or ramping. And example we talked about was the push-out of the 777X, GE9X program on prior page that really shouldn't be a shock, and we're not talking at a school. These things have been publicly reported in the news about the 777X program has had some push-outs and delays in the GE9X program. That's reported delays as well. This is all public information, so, I'm not talking about school, we don't do that. Next item severe stress on the aerospace industry supply chain. We discussed that before. It's very palpable and it has a real factor in terms of just kind of our day-to-day -- I guess working on existence in the industry. The last item is the new one, but we discussed previously in this presentation. Because of tight manufacturing capacity and carbon fiber supply, there is very little slack and leeway in the system, making it difficult for us to recover from supply or production setbacks. So we don't know if anything happened in this quarter, but you know there is at risk, if there was some surprise, it puts us back on our heels in terms of how to recover and deal with it effectively and quickly, so it doesn't impact the quarter. Let's go to Slide 12. Now, this is really the same long-term forecast that we gave you in January in our practices to update our long term forecast only once a year, so we probably will update this forecast this coming January. The reason that we're including it on this presentation is for fiscal '20, we've done rather than just kind of using the prior forecast, we have -- first quarter and second quarter fiscal '20 actuals, we just gave you the forecast for Q3 and Q4. We figured we should add them up, both the sales and EBITDA numbers, so you have something that it's more current. Other than that there is no change to the long-term forecast. And let's not stick in this page too long, if you have any questions about, let us know. Let's go to Slide 13, kind of a change of pace here, because now we're talking about some more interesting, if not -- I shouldn't say interesting, but it may be more -- what fun or exciting things. So recent developments. First of all, I just want to know that we have a Company presentation on our website now, as if we put on our website in maybe August and it's something you might want to check out. The quarterly presentations really focus mostly on what happened during the quarter and are kind of myopic in that respect. The company presentation gives you more of a broad perspective in the company. What our products are? Who our customers are? What kind of technology we're involved with the market segments? So history of the company, so if you have some time you want to check that out, it's on our website. Let's see, so other interesting recent developments. We had groundbreaking for a major expansion in Newton, Kansas on August 15. There is a picture of some people shovels. I think we did a news release about it, but it was a pretty nice and exciting day with a lot of people come from the local community. It was quite a few people. So for the local people, it's a big thing as well. Obviously for us, it's a big thing. Our next item was Park actually rang the closing bell at the New York Stock Exchange on August 26th is a picture of us doing that. I was a little skeptical about doing this and the New York Stock Exchange that asked us do this for a while and I just was -- I didn't know if we want to do it and -- but we find this okay, fine, we'll do it and I wasn't sure it's going to be -- to go and my wife said, Brian, you have to go. So I did and I was really glad I did because the New York Stock Exchange they did a wonderful job. They made us so special and I can't say enough about how wonderful job they did and they just made it a real special day for Park and I'm very -- I feel very grateful to New York Stock Exchange for doing it. And I'm glad my wife told me a better goal. Also it just a coincidence that wasn't the reason we did it, but it just so happens that it's our -- this year is our 35th anniversary of listing on New York Stock Exchange back in 1984. You might know, well, if you go to our company presentation, you go in history, we went public in 1960, originally in American Exchange, The New York Stock Exchange done in 1984, I believe. One little item we changed our name, we're no longer Park Electrochemical, which is the first quarter, I think first quarterly conference call, we are Park Aerospace Corp. We -- that was actually put up to shareholder vote in July, the shareholder approved it, of course and our name is now Park Aerospace Corp. We are Park Electrochemical Corp for a long, long, long time since 1960. The company was founded in 1954, but since 1960, we've been Park Electrochemical, now we are Park Aerospace. Park is one company. We also mentioned this that we're going to do it. Last quarter call, we had two entities, two principal entities, one was kind of a corporate entity in New York. The other one was our operating entity in Kansas, will emerge two, so it's not just one company. We mentioned this last call major private space company. We received additional POs and this is becoming a significant now and it’s quite exciting for us. This company is the very clear, they don't want us to say anything about who they are? What the program is? So obviously we're respecting that, but it is an exciting program. And like I said, it's becoming significant. I mean in dollars actually. Just a little update on our dividends. We paid $511 million so far, $24.95 per share and cash dividends since 2005. So I guess the way to the next dividend, it will be over $25 a share. So maybe you should talk about the next quarter. Next item Park is immersed in ramps of difficult and challenging programs, and these are things we've been discussing during the first part of this call on presentation, but lots of growing pains, but they’re worth it. At Park we just don't choose the easy path, that's just not our way. We look for challenges and we embrace challenges. Sometimes, we're going to fail, but at Park we say failure is not an option. That doesn't mean we don't fail, that means we don't accept failure. So when we fail, we get right back in the game and find a way to fix it and make things right. Long-term prospect for Park in my opinion is unchanged. So let's see what we can do. Let's see what we can do. We're not deterred. Let's see what we can do. Okay. So that's the end of the presentation. Operator, if anybody is still on the call, -- sorry, it went so long. Everybody, we are ready for your questions from the shareholder audience.
Operator: [Operator Instructions] Our first question comes from Christopher Hillary with Roubaix Capital. Your line is open.
Christopher Hillary: Great. I just wanted to ask, you said in your comments that we could ask you about your long-term forecasts. I just wanted to ask, if you give us some more insight into what you may or may not have included in some of those longer-term forecasts?
Brian Shore: So, the long-term forecast we've -- I think we discussed this before. So we start with the long-term forecast, we have from MRAS, I know on the GE programs. We have cut that to some extent, just to be a little bit conservative. The GE9X program, we have heard a lot. So that's kind of our baseline, and then there is a 100 of our line items that are considered in terms of how we get to the top line. And the bottom line is just doing the math in terms of, once we have the top line figuring what our costs are and coming up a with bottom line or EBITDA estimate. There is nothing unusual or extraordinary included in top line. There is nothing from acquisitions. It relates to -- it's based on organic growth. So I don't know. Is there anything else that I can help you with in that regard in some other -- did that answer your question?
Christopher Hillary: Yes, I've advance my question. I'm just trying to get a sense of -- I think in your call today, you discussed that you might prefer to give yourself a little bit extra space in the forecasting and I was essentially asking how you -- with that in mind, how you characterize the longer-term forecasts?
Brian Shore: Extra space on the top line and bottom line, just one understanding we are getting at.
Christopher Hillary: I think, whichever way you think is more accurate, describe it?
Brian Shore: Well, we're not going to update our long term forecast now as I said. We're going to do that once a year and we do the forecast. What we're telling you is this, what we think is going to happen as we've commented and we don't do forecasts, either short-term or long-term, which are created, so we can beat it and be hero and that kind of thing. We give you a forecast, we tell you this is what we think will happen based upon all the assumptions we're making, based upon the fact that we're going to work very hard to achieve these things. So we're not inclined to give you a conservative forecast. So we can be heroes and every quarter where it's a wonderful. I know a lot of companies will do that. I don't mean to be sarcastic about it, but it's just not what we would do. I think in the third quarter, sorry, the second quarter rather there were these three events, which were unexpected and -- but they don't have impacts on a long term though, I don't think. Those are short-term things and when you get to quarterly forecasting Chris. It's quite different than long-term forecast. You really have to -- you really have to focus on what pocket this is going to fall into. Is it going to be this quarter or next quarter, but long-term forecast is a little different. You should not solely dependent upon kind of nuances and subtle changes from month-to-month, let's say.
Christopher Hillary: Okay. And then one more, just a follow-up and I'll pass. Obviously, you have a material cash balance and in previous calls, you've -- I think expressed some confidence that there is some acquisition opportunities particularly certain ones that perhaps customers of yours or supply chain members have suggested that you consider. Is there any updated color you might share on progress on that front?
Brian Shore: Not really very much. What we've said before, still applies. It's a little bit of a tedious process because what we're trying to avoid is just kind of getting involved in auctions that are run by investment bankers, because we feel often those are over priced and are not really what we want. And often or not, really kind of niche either because niche things aren't really appealing often to kind of financial buyers and other buyers. So we've identified a number of companies in three, four different product categories and we reached out to them. But the reason it's a little bit more challenging is that these are not companies that have been put up for sale. These are companies that may not be for sale. So it's an effort we have to stay with and I guess what I can say is, we'll see what happens, but there really isn't any significant change from, I guess, when we talk about this maybe the last quarter.
Operator: [Operator Instructions] And I'm currently showing no further questions at this time, I will turn the call back over to Brian Shore for any closing remarks.
Brian Shore: Okay, well thank you very much, operator, and thank you all for listening today. Again, I appreciate you hanging in there. I know, it was a fairly long discussion and a little bit complex it involved. But again, we thought it would be necessary for perspective, or at least helpful for perspective, let's say that way. So have a good day. Give us a call. If you have any additional questions, we're available, of course. Thank you again. Goodbye.
Operator: Ladies and Gentlemen, this concludes today’s conference call. Thanks for participating. You may now disconnect.